Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to SeaWorld Entertainment's Fourth Quarter and Fiscal Year 2016 Financial Results Conference Call. My name is Jodie, and I will be your conference operator today. Thank you. I would now like to turn the conference over to Mark Transkei, SeaWorld's Vice President of Investor Relations. Please go ahead, sir.
Mark Trinske - SeaWorld Entertainment, Inc.: Thank you and good morning, everyone. Welcome to SeaWorld's fourth quarter and full year 2016 earnings conference call. Today's call is being recorded and webcast live. A press release was issued this morning and is available on our Investor Relations website at www.seaworldinvestors.com. Replay information for this call can be found in the press release and will be available on the website following the call. Joining me this morning are Joel Manby, our President and Chief Executive Officer, and Peter Crage, our Chief Financial Officer. On today's call, we will review our fourth quarter and full year 2016 financial results, and then we will open the call to your questions. Before we begin, I'd like to remind everyone that our comments today will contain forward-looking statements within the meaning of the federal securities laws. These statements are subject to a number of risks and uncertainties that could cause actual results to be materially different from those forward-looking statements, including those identified in the risk factor of our Annual Report on Form 10-K and Quarterly Reports on Form 10-Q filed with the Securities and Exchange Commission. These factors may be updated from time to time and will be posted in our filings with the SEC and made available on our website. We undertake no obligation to update any forward-looking statements. In addition, on the call we will reference certain non-GAAP financial measures. More information regarding our forward-looking statements and reconciliations of the non-GAAP financial measures to the most comparable GAAP measures are included in our earnings release available on our website and can also be found in our filings with the SEC. Now, I would like to turn our call over to Joel Manby. Joel?
Joel K. Manby - SeaWorld Entertainment, Inc.: Thank you, Mark. Good morning, everyone, and thank you for joining us. In 2016, we began implementing our plan to stabilize our business and drive sustainable growth. As a reminder, our strategic plan encompasses five key points: one, reposition the SeaWorld brand from animal entertainment to Experiences that Matter; two, addressing our challenges; three, delivering distinct guest experiences that are fun and meaningful, and deliver on our new brand positioning; four, pursuing organic and strategic revenue growth; and five, financial discipline. We continue to make solid progress through year-end in key elements of our Five Point Plan. Adjusted EBITDA was up 23% in the fourth quarter compared to the prior-year period; and for the year, adjusted EBITDA was $332 million, which beat the narrowed 2016 guidance we provided in November. In California and Texas, both revenue and attendance were up in the fourth quarter. And while California and Texas trends improved, the Florida market in both Orlando and Tampa was challenging in 2016, due in part to a decline in Latin American attendance. I would note that while the decline in attendance from Latin America is moderating, recovery from that region will take several years, a view shared by our competitors. We are highly motivated to address the softness in Florida and as we continue to leverage our 300-miles-and-in strategy, we are seeing increased attendance from those efforts. Also, our season pass sales continue to be up company-wide. Additionally, our capital investments in Florida and new attractions like our Mako coaster which opened later in the second quarter are helping. Looking forward into 2017, we are intensifying our work to transition our brand to providing experiences that matter. As the next major stride forward in this ongoing effort, we recently hired a new Chief Marketing Officer, Denise Godreau. Her focus is to accelerate our brand transition by engaging guests with one unified message. We will also benefit from merging our public relations efforts with more sophisticated marketing and pricing strategies, creating an integrated, effective go-to-market strategy to drive revenue. And, as you know, we made enormous progress last year addressing our challenges with our three major initiatives aimed at redirecting our focus consistent with our mission and our brand: ending Orca breeding, transitioning from a Shamu theatrical show to the Orca Encounter and partnering with The Humane Society of the United States on animal welfare and rescue efforts. Creating guest experiences that are fun and meaningful is the cornerstone of attracting guests to our parks. We have a compelling lineup of innovative new rides and attractions coming to our parks in 2017 that will complement the strong new attractions we added in 2016, and I'll talk about some of those in a moment. As I've discussed before, another key point of our Five Point Plan is pursuing organic and strategic revenue growth. And in December, we announced our partnership with Miral to develop a next-generation marine life themed park experience in Abu Dhabi, and UAE's first marine life research rescue rehabilitation and return center. This is truly a milestone for our organization. This will be SeaWorld's first international expansion and the first park without orcas, which illustrates the value of the SeaWorld brand worldwide. The new park, combined with a dedicated facility focused on marine life care and conservation, will continue SeaWorld's legacy of marine life rescue that spans more than 50 years. This capital-light arrangement is a great template for international expansion for SeaWorld. Now, to drive organic growth, we have begun working with a leading consulting firm to enhance our pricing capabilities and ensure we are capitalizing on what we believe are meaningful revenue opportunities. Over the next few months, we will be working together to build a leading revenue management and pricing function within our organization with a goal to increase our total revenue per capita. We have also stepped up our intensity in terms of another key aspect of our Five Point Plan: enhancing financial discipline across the organization. We have made significant progress on this front. Last quarter, we announced a comprehensive cost optimization program to achieve a targeted $40 million in net savings by the end of 2018. As part of this program, in December, we eliminated 320 positions across our theme parks and headquarters. During the fourth quarter, we realized approximately $1.5 million in savings from our cost optimization program and reported $8.9 million in cost related to the elimination of the positions. As I mentioned earlier, anticipation is building, as we look forward to great new attractions that are fun and meaningful, coming to our parks this year. These exciting new rides and attractions are part of one of the largest, and most innovative new lineups in our history and I'd like to highlight just a few of them for you. Kraken, SeaWorld Orlando's popular rollercoaster will be transformed into our first virtual reality coaster, and we believe audiences will be captivated by this new experience. Virtual reality adds new excitement to an existing ride in a very cost-effective manner and we see great potential for its use across our parks. Also, in Orlando, Electric Ocean will debut this summer as a brand new, end-of-the-day spectacular event. We will provide for additional revenue opportunities with this great new experience that offers guests a reason to stay later. Electric Ocean features a different kind of fun-after-dark, as the ocean comes to life with bioluminescent lighting, music and entertainment, and a fireworks and fountains display that brings the brilliant colors of the sea to the skies above the park. In San Diego, the New Orca Encounter will provide guests with up close opportunities to be inspired by these majestic and complex animals. Everything will reflect the natural world and will focus on the research, education, care and respect that aligns with our mission to advance the well-being and conservation of these beautiful creatures. And, at Ocean Explorer, SeaWorld San Diego's new experience of deep-sea discovery, our guests will be able to get up close to some of the ocean's most fascinating creatures. Riding on our new attraction of family-friendly mini subs, they will become researchers on a mission to collect data and learn how they can help animals. And we'll also bring Electric Ocean, our nighttime experience, to San Diego this summer. And finally, in San Antonio, Wave Breaker, will be a sea rescue-branded coaster which will excite our guests with a unique thrill ride while bringing awareness to the efforts of our animal rescue teams as they help ill, injured, orphaned and abandoned animals around the world. So, in summary, we are strengthening our foundation and you have our commitment that we are intensifying our focus on execution. With our brand evolution well underway, our full attention, energy and resources are focused on running the business with maximum efficiency to generate improved results. And, with that, I will turn the call over to Peter to talk about our financial results.
Peter J. Crage - SeaWorld Entertainment, Inc.: Thanks, Joel, and good morning, everyone. As Joel mentioned, we delivered results that demonstrate progress against our strategic plan. We are focused on growing revenues and attendance while executing on our cost optimization plan to create a more resilient organization. For the fourth quarter of 2016, we reported total revenue of $267.6 million, relatively flat when compared to the fourth quarter of 2015. Total revenue per capita was up about 1% or $0.36 to $61.12 from the fourth quarter of 2015. This increase was driven by higher in-park per capita spending, but was slightly offset by a decline in admission per capita. In-park per capita spending increased 5% or $1.18 to $24.06, primarily led by our culinary sales, while admission per capita decreased by just over 2% or $0.82 to $37.07 as a result of an unfavorable mix of admission products and a mix of theme parks visited in the fourth quarter compared to the prior-year quarter. As Joel mentioned, in 2017, we are focusing efforts on our pricing and yield maximization to improve our admission per capita performance. Attendance in the fourth quarter declined by approximately 30,000 guests. We saw increased fourth quarter attendance in Texas and California, but the increases were more than offset by the negative impact of Hurricane Matthew, which disrupted operations in Florida and Virginia in October, and, to a lesser extent, the continued decline in guest visitation from Latin America. Adjusted EBITDA was $58.1 million in the fourth quarter, up $10.8 million or 23% from the fourth quarter of 2015. We generated a net loss of $11.9 million or $0.14 per diluted share compared to a net loss of $11 million or $0.13 per diluted share in the fourth quarter of last year. However, please keep in mind that our results for the fourth quarter of this year include $8.9 million of costs related to the restructuring we announced in December. Turning to our full-year 2016 results, total revenue was $1.34 billion, a decrease of 2% compared to 2015. Total revenue per capita improved slightly to $61.10 as increased in-park per capita spending more than offset the decrease in admission per capita. In-park per capita spending increased by 2.6% or $0.61 to $23.93 primarily due to increased sales of products such front-of-the-line Quick Queue access. Admission per capita decreased by 1.4% or $0.52 to $37.17 due to increased water park attendance mix along with the impact of fewer international guests compared to last year. Overall attendance for 2016 decreased by approximately 2.1% or 471,000 guest. Attendance at our Florida park locations decreased by approximately $547,000 guest due to a decline in international attendance primarily from Latin America, which comprised 70% of the decline or 383,000 guests. Softness in the Orlando market as shown by reduced hotel occupancy at Orlando area hotels along with competitive pressures in Orlando in early 2016 and the adverse effects of Tropical Storm Colin, Hurricane Matthew and Hurricane Hermine. On a positive note, attendance at our Texas park locations increased by 333,000 guests benefiting from the new gate at its water park. Adjusted EBITDA was $332,000 million for 2016, which exceeded the adjusted EBITDA guidance we provided in November 2016 of $310 million to $330 million. As a reminder, adjusted EBITDA for 2016 includes a $10 million adjustment of the estimated savings related to our restructuring program. As we discussed in November, under our credit agreement definition of adjusted EBITDA, we add back estimated cost savings of restructuring actions subject to certain limitations. These estimated cost savings are non-GAAP adjusted EBITDA add-back item only. It does not impact our reported GAAP results. On the expense side, cost of food, merchandise and other decreased 3% or $3.3 million to $100.6 million in 2016 due to our continued efforts in reducing costs. Operating expenses for 2016 increased by $28.1 million or 4% largely due to wage and merit increases and an increase in equity compensation expense of $10.2 million primarily associated with certain performance-vesting restricted shares, which vested on April 1 of this year and were granted on or before the initial public offering in 2013. Selling, general, and administrative expenses increased 11% or $24.5 million to $238.6 million, but this was largely the result of an increase of $20.8 million in equity compensation expense, also primarily related to the performance-vesting restricted shares and $10.6 million related to barter expense. This increase was partially offset by targeted cost savings initiatives and a decrease in marketing and reputation costs. Adjusting for equity compensation expense and barter expense in both years, selling, general and administrative expenses decreased by $6.9 million in 2016. We ended the year with a net loss of $12.5 million or $0.15 per diluted share compared to net income of $49.1 million or $0.57 per diluted share in 2015. I'd like to address an unusual looking item in our earnings release. Our effective tax rate in 2016 was negative 291.5%. This was a result of the tax rate impact of state income taxes, tax credits and other permanently non-deductible items primarily related equity-based compensation. In the future, we expect our effective tax rate to be in the range of 32% to 40%, which will fluctuate based on the amount of income, non-deductible permanent items and the impact of state taxes for the year. Also, please remember we have federal tax loss carryforwards of $709 million and state tax loss carryforwards of $1.1 billion, which we expect to use to marginally offset cash taxes through 2020. And briefly, turning to the balance sheet, we ended the fourth quarter with $69 million of cash and $24.4 million drawn on our revolving credit facility. Total long-term debt, including current maturities was $1.6 billion and our net debt leverage ratio at the end of the fourth quarter was 4.61 times adjusted EBITDA. At this leverage level, we currently have $90 million capacity for certain restricted payments in 2017, which is measured quarterly on a trailing 12-month basis. And as we announced last week, we are currently exploring a potential refinancing of our existing senior secured credit facilities in order to improve our capital structure by extending maturities and improving certain other terms of our debt. As we look to the first quarter of 2017, I'd like to call out three items. First, cash CapEx for 2016 was $160.5 million due to the timing of cash payments. We expect 2017 cash CapEx will run a bit higher due to these timing differences but as we have said in the past, we will continue to invest at the $165 million to $175 million annual average, with the same targeted 20% cash-on-cash returns for the investment CapEx portion or about 75% of our total CapEx. Second, I'd like to remind you of the upcoming calendar shift impacting the first and second quarter. We expect that the timing of Easter holiday in 2017 will negatively impact our first quarter results since the holiday will fall entirely in the second quarter of this year. We anticipate the Easter timing will shift anywhere from $15 million to $20 million in adjusted EBITDA from the first quarter to the second quarter 2017. And finally, our popular One Ocean orca show in San Diego ended on January 8, but our New Orca Encounter will not open until late May. During this period, we are seeing some softness in attendance in San Diego, so we are accelerating our marketing spend in the Los Angeles area to let our guests know that they can still experience orcas at SeaWorld San Diego during the interim period. We remain optimistic about our key summer months, given our strong new attraction lineup in California, as well as across all of our parks. So, to wrap up, we are focused on driving improvements in revenue and attendance, and we have undertaken a number of initiatives to drive growth. We are introducing strategic season pass promotions, expanding our special events schedule, and we'll roll out an exciting new lineup of attractions, shows, and events in 2017. And, of course, financial discipline is a key pillar of our Five Point Plan, and we have made solid progress in 2016. We managed our CapEx spending down and are doing more with less. We developed and are implementing a cost optimization plan that both looks to reduce or redirect cost while increasing operating efficiency, and are already seeing the benefits of that plan. These initiatives reflect the new discipline around expense management and capital allocation that bode well for the future of the company and its ability to enhance shareholder value over the long run. Now, I'd like to turn the call back to Joel.
Joel K. Manby - SeaWorld Entertainment, Inc.: Thank you, Peter. Our Five Point Plan and our path forward are very clear, and we are moving with urgency on all fronts. We started 2016 by addressing our challenges, making the very difficult Orca decision back in March, and our data shows that customer perception of SeaWorld improved when hearing that news. We also moved forward aggressively in creating Experiences that Matter and in delivering distinct fun and meaningful guest experiences by introducing exciting new attractions at our parks in Florida and Texas. In fact, one of our new attractions at SeaWorld Orland, Mako, ranked among the top three best new rides in 2016 according to Amusement Today's 2016 Golden Ticket Award, and Busch Gardens Tampa was awarded the prestigious Applause Award from the International Association of Amusement Parks and Attractions. This is an award that honors an amusement park whose management, operations, and creative accomplishments have inspired the industry with their foresight, originality, and sound business development. Financial discipline remains a top priority. We have implemented a significant cost optimization program and are becoming much more efficient in our use of CapEx. Our focus on enhancing shareholder value is reinforced by the evolution of our governance practices, deepening the alignment of our policies and practices with the best interest of our shareholders. In 2016, our board and shareholders approved an amendment to our Certificate of Incorporation to provide for the phased-in declassification of our board. This means that beginning with the Directors up for election in 2017, shareholders will elect Directors to a one-year term rather than to three-year terms and starting in 2019, shareholders will be able to elect the entire board on an annual basis to one-year terms. We also adopted a majority voting standard for uncontested Director elections and in the fourth quarter of 2016, we adopted new compensation plans for 2017 that emphasized longer-term performance-based compensation and use a broader score card of performance metrics including return on invested capital, a key indicator of our growth and profitability that aligns with shareholder value creation. Over the past year, Peter and I have stepped up our outreach to shareholders, and we remain committed to an active and vibrant dialogue. The board and management team continue to look at ways to enhance our ongoing relationships and interaction with the investment community. We have the right team in place at all levels of the company and we are executing aggressively to increase revenue, control our cost and drive shareholder value. We look forward to updating you on our progress over the course of 2017. And with that, I'll open up the call for questions.
Operator: Our first question comes from the line of Tim Conder of Wells Fargo Securities. Your line is open.
Timothy Andrew Conder - Wells Fargo Securities LLC: Thank you. Gentlemen, just – actually a few clarifications here. Peter, on the adjusted EBITDA, the $10 million in total here add-back, that was composed of the charge for severance and so forth plus the just under $2 million of savings you said?
Peter J. Crage - SeaWorld Entertainment, Inc.: No. Tim, there are two – good morning, by the way. There are two items we have. The $10 million represents our limit on the estimated savings we'll achieve from the action. And then, we have as a separate add back, severance cost associated with the action, and that's $8.9 million.
Timothy Andrew Conder - Wells Fargo Securities LLC: Okay.
Peter J. Crage - SeaWorld Entertainment, Inc.: Sitting in two separate buckets on the earnings release.
Timothy Andrew Conder - Wells Fargo Securities LLC: Okay. Okay. And then, Joel, a little more color, if we could, on the attendance. Any estimate from the storm impacts in Q4, in particular, Matthew, the impact on attendance. And then any color on Brits in particular given we haven't anniversaried Brexit and the extreme volatility we've seen in the pound on Brit visits to Orlando in particular?
Joel K. Manby - SeaWorld Entertainment, Inc.: Yeah. Hey. Good morning, Tim. Good to hear your voice. On the hurricane, it was about 60,000 people. It hurt us both in Orlando and up on the East Coast as it went through Williamsburg. So 60,000 is that answer. On Britain, actually, we are up quite a bit in our source of residency from Britain so far year-to-date. We monitor it very, very closely. We see a little bit of softness in Discovery Cove, which is a much smaller attendance and a much higher obviously ticket price. But, so far, the theme parks are very, very strong from Britain. Haven't really seen an impact, but we're keeping a close eye on it. And if we see any movement there, we'll aggressively shift resources.
Timothy Andrew Conder - Wells Fargo Securities LLC: Okay. And then, gentlemen, on deferred revenue, Peter, if you have that balance and how much of that – what's included in that, I guess, from Abu Dhabi? And then on the season passes, any percentage quantification, gentlemen, or color that you can give on season passes on a year-over-year basis?
Peter J. Crage - SeaWorld Entertainment, Inc.: Tim, on deferred revenue, we're about flat. But take into consideration that that's made up of not only season pass but single-day event sales, Discovery Cove multi-day event sales were essentially flat. And, Joel, on season pass?
Joel K. Manby - SeaWorld Entertainment, Inc.: Yeah, sure, I'll handle season pass. Tactically, Tim, we are very pleased with where we are right now for 2017. We're up almost entirely across the board, but the company is up over last year. So we are off to a good start. Strategically, I will tell you it's a very strong focus of our company to continue to move people into season pass products which we – is really our membership program. We are world-class. I feel that our Busch parks were over 50% on our season pass penetration. We are – we have some opportunity, I believe, at our SeaWorld parks, and we're moving them in the right direction. It'll increase overall revenue or total revenue per person. May not help per caps per se but it'll definitely help overall revenue on those SeaWorld parks. So, strategically, it's a big focus. So far, we're off to a great start in 2017.
Timothy Andrew Conder - Wells Fargo Securities LLC: Okay. And are you up high-single, double-digit? And then, Peter, is there any deferred revenue from the international agreement, and how much is that in the deferred revenue number?
Peter J. Crage - SeaWorld Entertainment, Inc.: Yeah. There's no international deferred revenue. That sits in other liabilities. We're just booking (29:45) that differently.
Joel K. Manby - SeaWorld Entertainment, Inc.: And we're up single-digits in season pass sales.
Timothy Andrew Conder - Wells Fargo Securities LLC: Okay, okay. Thank you, gentlemen. Appreciate it.
Joel K. Manby - SeaWorld Entertainment, Inc.: Yeah. Thanks, Tim.
Peter J. Crage - SeaWorld Entertainment, Inc.: Have a good one.
Operator: The next question comes from the line of Felicia Hendrix of Barclays. Your line is open.
Edward Wendel - Barclays Capital, Inc.: Hi, good morning. This is Ed Wendel on for Felicia Hendrix. A couple of questions for you this morning. One, could you just describe what were the drivers behind the better than expected in-park revenues? Was that a function of new marketing programs in park or promotions? And then I just have a couple more after.
Joel K. Manby - SeaWorld Entertainment, Inc.: Yeah, Ed. We had a variety of things happening there. First of all, our culinary, I think, is amongst the best in the industry. We're really focusing on festival strategies where we have our Food & Wine Festival, our Seven Seas Festival. We saw over $4.5 per caps just in the festival alone, over $13 in food per caps at some of our parks. So very, very strong festival performance. And we're also seeing very good in-park queue system sales. So Quick Queue, we are experimenting with an all season Quick Queue pass. We have all season food passes. So we are putting all the guns behind increasing in-park revenue as they enter the park.
Edward Wendel - Barclays Capital, Inc.: All right. That's great. And then, on debt, I noticed that interest expense seemed to tick up by $3 million on a similar debt balance to 3Q 2016. Just wondering if effective interest rates have gone up? And if so, would this be a rate you expect to see following the debt refinancing? And then could you also let us know if any of your debt covenants are changing with the refinancing?
Peter J. Crage - SeaWorld Entertainment, Inc.: First question, we had our swap – $1.2 billion in swaps that matured and we had swaps that were priced a little bit higher and that was the reason for the uptick in the fourth quarter. With regard to the refinancing, we're in the market right now. So that has not been completed and, of course, when it's completed we'll be communicating, if we can't complete it. We're confident but there's nothing really – no details to talk about that since we're still in the market. I think you had another question in there, but I'm sorry I forgot.
Edward Wendel - Barclays Capital, Inc.: Yeah, no. Well, are you expecting changing your debt covenants with the refinancing but...
Peter J. Crage - SeaWorld Entertainment, Inc.: Yeah. We won't know that until we complete the transaction and we're in the market right now.
Edward Wendel - Barclays Capital, Inc.: Got you. And then, just last thing. A quick housekeeping question for you, Peter. On the $10 million cost savings add back, assuming you realized $10 million of cost savings in 2017, will that show up as a negative add back in 2017 since you already pulled it forward for 4Q 2016?
Peter J. Crage - SeaWorld Entertainment, Inc.: No. It will show up just in our ongoing operating numbers,
Edward Wendel - Barclays Capital, Inc.: Okay. Thank you very much.
Peter J. Crage - SeaWorld Entertainment, Inc.: Sure.
Operator: Your next question comes from the line of Jason Bazinet, Citi. Your line is open.
Jason Boisvert Bazinet - Citigroup Global Markets, Inc.: I have two quick questions just on this estimated $10 million of savings. The way the credit agreement works, do you actually have to have already put in steps to realize that or do you just have the flexibility to say, we think we're going to save $10 million and so you use that for your adjusted EBITDA? And the reason I ask, which is somewhat related is the only action I think you called out in terms of the cost containment was about 300 employees that you let go and it just seems hard to sort of get a $10 million number given that magnitude of head count reduction unless there is a bunch of other non-head count related cost saves? Thanks.
Peter J. Crage - SeaWorld Entertainment, Inc.: Sure. Sure. The two-part question, yes, we have to have a very specific restructuring action. We have to take steps and take specific action not just have an idea. And those 320 positions yielded in savings including salary benefits and other incentives over $10 million. So we're limited to $10 million, but we expect to achieve greater than $10 million in real run rate savings from that action.
Joel K. Manby - SeaWorld Entertainment, Inc.: Yeah. And Jason, it's Joel. I want to assure everybody on this call, we are incredibly focused on continuing with that. That's what we did in the fourth quarter. But from overall, just general improvement on – keep doing everything we do better each day. We review it constantly whether it's our outside services we're looking at, how we manage our labor, making sure our marketing is efficient, and the more we can do from a digital standpoint and measure results, the better. We're focusing on everything we can do to kind of constantly get better as a company so that we continue to evolve and improve our cost structure and improve our margins.
Jason Boisvert Bazinet - Citigroup Global Markets, Inc.: Very helpful. Thank you.
Operator: Your next question comes from the line of Barton Crockett, FBR Capital Markets. Your line is open.
Barton E. Crockett - FBR Capital Markets & Co.: Okay. Great. Thanks for taking the question. And I was curious about the, I guess, first about your view of the big new attraction coming to Orlando from Disney, the AVATAR area in Animal Kingdom which they touted in a pretty high profile ad on the Oscars on their ABC Network. And you have lived through big new attractions from Harry Potter stuff in Universal, and that can have a big impact on the market. What's your sense now as we get close this thing opening in May, late May, as to is this going to be as impactful as Harry Potter or a lot less? Have you done any survey work, or do you have any rough sense of how big an impact this is going to be on the market and what it could do to you guys in terms of bringing people into the market that helps you or being a competitive headwind that hurts you?
Joel K. Manby - SeaWorld Entertainment, Inc.: Sure. Absolutely. Hey, good morning, Barton. Was that ad just after Warren Beatty or was it? I don't know. I didn't see it. But anyway...
Barton E. Crockett - FBR Capital Markets & Co.: A little bit earlier.
Joel K. Manby - SeaWorld Entertainment, Inc.: Yeah. Okay. Look, we have competed with Disney and Universal for a very, very long time. As I've always said, they're excellent competitors. But from my two years now with the company and all the data I've looked at over the years, and we've studied it intensely, those two very good competitors help grow the market. This is the largest competitive market, the largest tourist market in the world, 62 million people. And throughout our four-year history, we have always been able to carve out our share of guest experience. And what I'm actually very enthused about and feel more confident than ever is we have a strategy that can compete with Disney, Universal because we've always had a good value proposition. We are increasing our value position. We've done a lot of research. We know our pricing. It drives a great value in the customers' mind. We know that we have very, very good guest experience from a score standpoint. So the customer we're going at after is more value-conscious than some of Disney and Universal's customer. So I actually feel like we have more of a niche carving out than in the past. And then, on top of that, you look at our work on ticket yields or look at – and the fact that our season passes are off to a good start in Orlando, our extreme cost focus as a company, I really do believe that we will see a good result here in Florida in 2017. I like the fact that they raise the tide and bring more people to the market. And that doesn't even mention the final point, which is all of our marketing efforts to our 300-mile in strategy that I talked about before, we have share to gain there and the highest growth customer in 300 miles in the Hispanic market we are doing an incredible job with. They're growing way over national average in this area and we are penetrating them at a very, very effective rate. So not only from a ticket strategy standpoint but also a demographic standpoint. I feel very confident about our future in Orlando.
Barton E. Crockett - FBR Capital Markets & Co.: Okay. But just to follow up on that point, do you believe that this new attraction is something that will be comparable in impact to the Harry Potter attractions at Universal or does it look like something that is less impactful?
Joel K. Manby - SeaWorld Entertainment, Inc.: I don't know, but my instinct is it'll be less impactful. I think Harry Potter is a once in a lifetime kind of step change in this market. I think AVATAR is a great product and Disney will do as usual fantastic job with it. But I wouldn't expect it to have the same impact.
Barton E. Crockett - FBR Capital Markets & Co.: Okay. And then switching gears a little bit, in San Diego you've called out some softness as you transition the Orca attraction, but you guys called out strength I think in the fourth quarter which seemed consistent with some of the lease data that we track. Was there a pull forward, was there a rush of people into the fourth quarter to catch the end of the old Orca show and so maybe the fourth quarter was a little bit artificially boosted?
Joel K. Manby - SeaWorld Entertainment, Inc.: I don't think in the fourth quarter at all because the show ended in January, but I think there was some pull forward in January attendance into those first couple of weeks. However, recently the last week, we've seen it recovering again. I think it was just a little bit of a – we did a lot of marketing of that last show and there's not a lot of new product coming until April and May. But we are marketing our season passes. We're getting people lined up. I'm incredibly confident for the full year in California. We've got the best lineup in the history of that park. And we haven't had new product there in quite a while. So between the Orca Encounter coming in May; Ocean Explorer, which is a new ride, and they haven't had one in I think three or four years, and then also Electric Ocean, the new nighttime show, we will, I think, have a fantastic year there. And I'm not concerned at all about a couple of weeks of aftermath of the show ending because right now we just have an interim whale orca show, and we're gearing up for the big part of the season.
Barton E. Crockett - FBR Capital Markets & Co.: Okay. Great. Thank you.
Joel K. Manby - SeaWorld Entertainment, Inc.: You're welcome.
Operator: Your next question comes from the line of Alexia Quadrani of JPMorgan. Your line is open.
Alexia S. Quadrani - JPMorgan Securities LLC: Thank you. Can you just elaborate a bit further in terms of what you're seeing from Latin America? You obviously talked about the softness and that hasn't recovered, but maybe you can give us some color on what you're sort of seeing quarter-to-date and, more importantly, I guess what your outlook is from Latin America visitors, what you're budgeting for what you're expecting for the rest of 2017? And then I have a quick follow-up.
Peter J. Crage - SeaWorld Entertainment, Inc.: Sure. Hi, Alexia. It's Peter. We are seeing the stabilization, if you will, of Latin America. It's not getting worse. But on the other hand, we don't expect it to ramp up very quickly. So we are essentially neutral in our outlook for 2017, neutral that we'll lap on 2016, but without a significant recovery from Latin America.
Alexia S. Quadrani - JPMorgan Securities LLC: And then just a quick follow-up. You embarked on a big reimaging campaign to reflect the transition you guys are making away from the live animal shows. Can you give us a sense – you probably have a lot more data than we do in terms of where you are in that cycle. It's clearly had a positive impact in attendance in at least some of your parks. I guess I'm trying to get a sense of is there still more of a benefit to come or was it sort of a one-time transition and it's mostly behind us?
Joel K. Manby - SeaWorld Entertainment, Inc.: Hi, Alexia. It's Joel. I'll take that one. The answer is, big picture, we're only in about the second inning of this transition. I am very enthused about what's happening inside our company and what I see. Denise has come in as our CMO, hit the ground running. We are looking at very effective ways to combine our PR efforts with our marketing efforts. So when we sell tickets, we're also telling a good story about SeaWorld. So they're not separate messages anymore. We're going to one brand, that's a heck of a lot of fun, enthusiastic for customers who come visit us. But at the same time, they know they're making the world a better place. That's coming together and you'll see a lot more of that as the year goes on. And so I'd say we're in the second inning there. What we found in our research is every time we go out and ask people, are you familiar with the SeaWorld's decision, if they are, it jumps their favorability and intent-to-visit scores a lot. And not just from the – like a factor of three to eight times depending on metric on favorability and intent-to-visit. What we have to make sure we keep doing is we just need to make sure we integrate that message out there and keep reminding people of it, so they don't forget. The other thing that's really interesting is all the decisions are important. So it's not only the orca or the show transition, but also the good work we are doing with humane society. All are reflected very positively in our research. So second inning, a lot more to come, and I think you'll be really – you'll like what you will see as the year unfolds.
Alexia S. Quadrani - JPMorgan Securities LLC: Thank you very much.
Operator: Your next question comes from the line of Tyler Batory of Janney Capital Markets. Your line is open.
Tyler Batory - Janney Montgomery Scott LLC: Thanks. Good morning, everyone. So just a question on the 300-mile-and-in guests for Florida, was attendance in that segment up in 2016? And then you mentioned marketing more to those guests, but do you have any other comments on strategies that are working to get more attendance from that segment?
Joel K. Manby - SeaWorld Entertainment, Inc.: Yes. Tyler, it's Joel. Yes, in our 300 miles and in, we had real success in the drive in overnight market, and also even our domestic market sometimes outside of 300 miles as well. And we are – we basically – what our model is, we heavy up markets that are within that 300 miles where we can really soak the market, understand the results for the dollars. And then as we prove the model, we go out in concentric circles. And we are not only doing that in Florida, but we're also doing it in San Antonio, and we're also doing it in San Diego. In San Diego, our LA market was up in 2016 and is a big, big, big focus of ours in 2017. If we get LA back strong, San Diego will have an incredible year and is a big focus of ours. So prove the model, then expand it concentrically, and it's a model that's working for us.
Tyler Batory - Janney Montgomery Scott LLC: Okay. Great. And then can you just talk more about general trends in Orlando? I know in the past you've discussed some competitors getting more promotional. So if you can maybe comment on that, and then what you're seeing year-to-date in 2017 as well.
Joel K. Manby - SeaWorld Entertainment, Inc.: Yeah, absolutely. I think, look, if you step back from everything we've said and you look at the numbers, 80% of our EBITDA drop last year was Brazil, and it had a huge impact on us. I'm not making excuses, but it's a $30-ish million of the $40 million issue was Brazil. The other piece, there is softness overall I think in 2016 in Orlando. Now, a lot of people aren't talking about it, but the hotel occupancies were down last year for the first time in – how long guys, three years – three years, I think. But I do believe this year with the power of AVATAR and so forth, that's why I say I like it when the market's strong because we get our fair share of it. So between Brazil, which contributed some to the market softness, but we think there was some local softness as well, that really was the issue as well as the weather and the hurricanes that we mentioned. Those things come and go. I think we got our fair share of it, but I'm looking forward actually to good product from Disney, Universal to add to our good products.
Peter J. Crage - SeaWorld Entertainment, Inc.: And Tyler, this is Peter. In the first month, month and a half in Orlando, it's a very small piece of our business as you might expect, but essentially at our expectation.
Joel K. Manby - SeaWorld Entertainment, Inc.: Yeah. Season passes are up and we're hitting our expectations so far.
Tyler Batory - Janney Montgomery Scott LLC: Okay. That's great. That's all for me. Thank you.
Operator: Your next question comes from the line of Bryan Goldberg of Bank of America Merrill Lynch. Your line is open.
Bryan Goldberg - Bank of America Merrill Lynch: Thanks. Just a couple quick ones. I was wondering on your cost saving program, how much of the cost saves have now been implemented. And can you kind of give us any sense of how we should be thinking about expense growth in 2017? I mean how should we be thinking about or balancing your cost saving activity versus cost inflation items like wage increases?
Joel K. Manby - SeaWorld Entertainment, Inc.: I'll start kind of strategically, and then I'll let Peter add any specific color. Look, just like any other company, cost efficiencies and being more efficient in what we do never ends. So we did a big head count piece, but there's a lot of things we can do, like I said, in managing our labor, managing our costs, managing our outside services, just constantly getting better. We have committed to $65 million in gross cuts over the next two years, and that will net $20 million in 2017 and $20 million in 2018. Obviously, that means if we don't grow at all on revenue, which is not our plan, we would still have that $20 million increase. But, Peter, do you have any more?
Peter J. Crage - SeaWorld Entertainment, Inc.: Sure. And, Bryan, specifically we took this action in December. And although we were limited to $10 million of recognition pull-forward, if you will, it is greater. The reduction on a run rate basis is greater than that $10 million. Now, for 2017, we're going to be looking at other areas like you saw in our release or in my prepared remarks, on the cost of goods side, we were able to save on similar volume about $3 million, $3.5 million. So we're going to be focusing heavily on how we get smarter and get more efficient on our procurement. And lastly, efficiencies, taking a look at value stream map best practices, as Joel said, $20 million next year, $20 million the year after. But we do have pressures, and there's no question. All of our peers have pressures on wage, particularly wages and rates in California in particular, and I think that third leg of the stool that I just mentioned where we're going out and looking at efficiency and finding ways to reduce labor hours and volume, that will bode well, but we're still going to see pressures on costs.
Joel K. Manby - SeaWorld Entertainment, Inc.: Yeah. Yeah.
Bryan Goldberg - Bank of America Merrill Lynch: Thanks. And I've just got two other quick ones. I'm sorry if you already mentioned this, but with the Abu Dhabi park or the initiative there, how exactly is that going to flow through the P&L and EBITDA? Are the expenses or whatever you've incurred so far, has that been in your adjusted EBITDA or have you been adding that back? And then will there be revenues during the development stage similar to what we see at Six Flags?
Peter J. Crage - SeaWorld Entertainment, Inc.: On the accounting, nothing is flowing through the P&L right now. We had mentioned that we collected a $10 million fee and we will just generate our cost and they'll flow through as deferred costs until the project is completed some years down the road.
Joel K. Manby - SeaWorld Entertainment, Inc.: Yeah, it was structured differently. The percent of revenue, all the fees we get from a brand standpoint will be more back ended – back loaded. And when the park opens, we are looking – as we are looking at other international possibilities, we are in various discussions, we will learn from what we see from our competitors and I know that Six Flags is structured there slightly differently and we will do it if we can. I think there's risk to it as we saw with our Vietnam issue. There's pros and cons each way and I'm not saying one way is right and one way is wrong. But we will continue to look and learn and try to recognize some revenue with very firm deliverable dates as we go through these projects. We're excited about the activity in that area.
Bryan Goldberg - Bank of America Merrill Lynch: Thanks. And then my last one is on your current refinancing efforts. I'm just curious, I know it hasn't closed yet, but should we expect any changes in the adjusted EBITDA carve-outs that your current facilities allow for? I mean for example, are you still going to have this $30 million cap on estimated cost saving add-backs or are you seeking to change this? Any color there would be helpful.
Peter J. Crage - SeaWorld Entertainment, Inc.: Yeah, there is no color unfortunately. We're in the market right now and as we go through the transaction we will then be able to provide more color. But there's no color right now.
Bryan Goldberg - Bank of America Merrill Lynch: All right. Fair enough. Thank you.
Operator: Your next question comes from the line of James Hardiman of Wedbush Securities. Your line is open.
Sean Wagner - Wedbush Securities, Inc.: Hi. Sean Wagner on here for James Hardiman. I was just wondering, is there any more – can you give us any color on kind of the quarterly cadence of that $20 million in 2017 and 2018 of net cost savings?
Peter J. Crage - SeaWorld Entertainment, Inc.: Sure. It's difficult to give a quarterly cadence on that, and a case in point is in our prepared remarks I spoke of this shift of business between the first and second quarter due to Easter. Very challenging to give a quarterly cadence. Our commitment is net $20 million for the year, and we're squarely focused on that. Of course, we'd like to exceed that if we can. But giving quarterly guidance right now, I think, might be overly confusing.
Sean Wagner - Wedbush Securities, Inc.: Okay. And you previously indicated it was about a third SG&A and two-thirds operating expenses, I believe. Is that still the right way to think about it?
Peter J. Crage - SeaWorld Entertainment, Inc.: I think so. I think there may be opportunity on the operating expense side, as I just mentioned, to maybe even increase that slightly. But I think that's a good break-out for now.
Sean Wagner - Wedbush Securities, Inc.: Okay. Thank you very much.
Operator: Your next question comes from the line of Matthew Brooks of Macquarie. Your line is open.
Matthew Brooks - Macquarie Capital (USA), Inc.: Good morning, guys. I've got a few questions on sort of capital spending. First, can you say anything more about the VR coaster in Orlando and maybe how much of cost for that ride or how much less the cost for that transformation compared to putting in a new ride?
Joel K. Manby - SeaWorld Entertainment, Inc.: Sure. We're very excited about Kraken. We had a test run of it. It's about 10% of what a – 10% to 20% depending on the execution. So at a high end, the 20% would probably be a better guess. We are very excited about it. We have a plan across all of our parks. We aren't talking about it as much, because we really want to execute it well. But we are prepared to roll it in other places. The other thing that's exciting, we have it for our rides, we also have a version of virtual reality for our animals, where you actually see them live and things that you can't possibly see as a human today and experiences that you can't experience except through virtual reality. And so we're testing both the basically ride-based film product as well as with our live animals. Very excited about it, and it could take our CapEx down over time and we'll monitor it and learn from each execution.
Matthew Brooks - Macquarie Capital (USA), Inc.: Right. The second one, I can see you look at other regional parks that are successful and copy things that seem to be working for them. And one company in particular is very thrifty with their capital spending. What more can you do to try and reduce the cost of these new rides, so they can boost your returns on capital?
Joel K. Manby - SeaWorld Entertainment, Inc.: Yeah. I think virtual reality is certainly one of those areas that we are looking hard at. We're also – our festival strategies, which we are rolling across SeaWorld, SeaWorld parks now all have the Seven Seas Festival that can increase – revenue increase per caps without the CapEx, but you have to be careful on the expense structure. The thing that I want to caution on is we are in the midst of turning around the SeaWorld brand and they were either without capital for a few years or the capital they had wasn't executing as well it should have. And we can't shift too quickly away. Product drives this business. We're learning from VR. If that's successful in driving attendance like we think it will be in Orlando, we'll roll it rapidly. But right now, we're trying to keep our CapEx – not trying, we are keeping our CapEx at $175 million to $165 million. The thing I want to remind everybody is we're doing literally double the attractions this year for $175 million than we did in 2016. So this is the first year that Peter and I have really been able to impact capital in what's coming out, and we are trying to do more with less. And over time, we'd like to get that number down, but we're not going to make a verbal commitment of what it's going to be right now.
Matthew Brooks - Macquarie Capital (USA), Inc.: All right. And the last one, on Mako and Cobra's Curse, I mean you've got a half year result under the belt. Does it look like that gets to your 20% cash on cash return? I know some of the decision is pre-baked (56:21) you being there.
Joel K. Manby - SeaWorld Entertainment, Inc.: No. Look, Mako is a fantastic ride. It's actually tied for the best we've ever launched from a guest standpoint and you've heard about awards earlier. The answer to your question is no, it's not going to get a 20% return because – but if you look at the shift in attendance from where we were when it launched, which was we were down high-single digits and when it launched, it reversed the trend to basically flat or close to flat, then you look at that trend, it was a very strong performer. But I know that's not what you're looking for. I know that's not good enough for any of us. We have to grow attendance and grow revenue. But minimizing a loss is just as important in cash flow as maximizing a gain. So from that standpoint, it did its job.
Matthew Brooks - Macquarie Capital (USA), Inc.: Okay. Thank you very much, guys.
Operator: Your next question comes from the line of Joe Stauff of Susquehanna. Your line is open.
Joe Stauff - Susquehanna Financial Group LLLP: Thank you. Good morning.
Joel K. Manby - SeaWorld Entertainment, Inc.: Good morning.
Joe Stauff - Susquehanna Financial Group LLLP: I just – with – in the clean-up position, I just want to clarify some questions or some answers to questions that you had. In the Florida market, are you able to give us what the attendance was in the fourth quarter? And I think in the third quarter it was up 1.3%; had you excluded Latin America, was up 4%. Can you give us that same metric in the fourth quarter?
Peter J. Crage - SeaWorld Entertainment, Inc.: What I can tell you is that we don't give quarterly attendance numbers by park or by location. We tried obviously to provide color as to why our business is either performing well or performing poorly. In the fourth quarter, we saw, as Joel had mentioned, company-wide about a 60,000 impact from the hurricanes in early October and we continue to see softness in Brazil, but beginning to level. And that was about – I think about 40,000 visits or so. So that's what I can tell you.
Joe Stauff - Susquehanna Financial Group LLLP: Okay. Fair enough. And then you also – Joel, I think you had also mentioned at least the timing associated with putting the new attractions into rides in San Diego. I think you had said April and May. Can you also tell us when the new attractions in Orlando and Texas would be placed into service?
Joel K. Manby - SeaWorld Entertainment, Inc.: They're all in early summer. We tend not to release the dates so we get a little bit closer, but May and June they're all going to be open and going, so right at peak season. And our goal going forward is to continue to pull that date. We are now starting our projects on time for 2019 and even looking at 2020, and we will open even earlier by spring break.
Joe Stauff - Susquehanna Financial Group LLLP: And then just the final question. In the Orlando market, your per caps in terms of admission per caps versus both Universal and Disney, are you at roughly a 50% discount to their admission per caps? Can you just give us an updated sort of delta on where your admission per caps are in the Orlando market versus your larger competitors?
Joel K. Manby - SeaWorld Entertainment, Inc.: Look, we haven't publicly gone out there with specifics, but I can tell you directionally to help. When we had our brand issues in 2015 and 2016 and we had a lot more free product and heavy discounting, our net was lower than it should be and much lower than Disney and Universal. I can tell you that basically with our pricing strategy, we can keep our gross pricing about where it is, and we will increase net with less discounting and better marketing. And all the things we're working out with the pricing team that's in place now, outside expert helping us create a world-class pricing team, we can increase our net per cap consistently over the next few years without affecting our gross ticketing price. So we can do better and we will do better, and there is people waking up every morning now and that's all they're thinking about. So we will get there.
Joe Stauff - Susquehanna Financial Group LLLP: Got it. Makes perfect sense. Thank you.
Joel K. Manby - SeaWorld Entertainment, Inc.: Thank you. Is that it? Another one? Okay.
Operator: Our final question for today is coming from the line of Scott Hamann of KeyBanc. Your line is open.
Shawn Cain - KeyBanc Capital Markets, Inc.: Hey, guys. It's actually Shawn Cain on for Scott. I realize you can't provide any guidance until 1Q. But just as we look at modeling admissions per caps for 2017, as we weigh the water park gate, warm summer weather last year and international attendance, as we lap those, is it reasonable to assume that admissions per caps could be positive if we get fairly normal weather, or will better season pass sales offset that? Just any color on that dynamic would be helpful. Then I had one quick follow-up.
Joel K. Manby - SeaWorld Entertainment, Inc.: Yeah. Giving you color on it without specifics, we certainly expect that to happen. We have full-gated initiatives on making sure that happens, even with season pass percentage increases. As I mentioned, outside expert is on the ground right now helping us set up great (01:02:06) analytics, world-class team, and we increased price $10 just last week on some advance purchase tickets based on those analytics that we had opportunity. So I do expect it to happen even with increased season pass sales.
Shawn Cain - KeyBanc Capital Markets, Inc.: Okay. Awesome. And then just to clarify on Latin America, did you essentially say that you're expecting flat Latin American visitation in 2017 or just a moderation in the declines?
Joel K. Manby - SeaWorld Entertainment, Inc.: A moderation, yes.
Peter J. Crage - SeaWorld Entertainment, Inc.: Right, moderation.
Joel K. Manby - SeaWorld Entertainment, Inc.: Slight increases but not much.
Shawn Cain - KeyBanc Capital Markets, Inc.: Okay. Great. Thank you.
Joel K. Manby - SeaWorld Entertainment, Inc.: And we are seeing that, but it's just going to be a slow – I think a slow turn.
Shawn Cain - KeyBanc Capital Markets, Inc.: Okay.
Joel K. Manby - SeaWorld Entertainment, Inc.: All right. Is that it? Well, we appreciate it. Everyone, thanks again for attending our call and we certainly look forward to speaking with you. And be assured, we're focusing on every key lever of this company; attendance, costs and admissions per cap to get our EBITDA in the right direction this year. So thanks a lot for your time and look forward to speaking with you again soon.
Operator: This concludes today's conference call. You may now disconnect.